Anna-Maria Fischer: Thank you, operator. And welcome everyone to our first quarter 2024 results presentation. Today's call is hosted by our CFO, Katja Garcia Vila. A small reminder that both the press release and presentation of today's call are available for download on our Investor Relations website. Before starting, we'd like to remind everyone that this conference call is for investors and analysts only. If you do not belong to either of these groups, please kindly disconnect now. Following the presentation, we will conduct a question-and-answer session for sell side analysts. To provide a chance for all to ask questions, we would like to ask you to limit yourself to not more than three questions. This will help us conclude the call on time. With this, let me now hand you over to Katja.
Katja Garcia Vila: Thank you, Anna. A warm welcome to you all. It's good to be here with you today. So let's jump straight in on page number 3. Starting on page 3, as you saw with our pre-release on April 16, we had a soft start to 2024. Our results, although expected, were burdened by weak markets, especially in Europe, and FX effects across all sectors. Automotive was impacted by the significant portion of agreed 2023 pricing not rolling over into 2024. Our negotiations here are currently still ongoing. We see first progress. We target to finalize the agreements as soon as possible without sacrificing quality. Of course, we are aiming to have them agreed on a sustainable level, but this is something we can only comment on once we are done and the agreements are signed. Despite the weak first quarter, we are confident that the year will play out like it has over the last two years, with improvements through the year, negotiation results re-established in our prices, and our cost saving measures kicking in. On this basis, we confirm our guidance. For Tires, we see the chance to be in the corridor for H1 as a whole, while for ContiTech, we expect the second half of the year to bring the tailwind from our self-help measures enabling us to achieve our guidance. With that said, let's look at a few of the numbers. On group level, we came in at €9.8 billion sales with an adjusted EBIT margin of 2%. Our free cash flow on the year-on-year comparison showed some improvements in working capital, while being burdened by the special one-time effect of the payment for the repurchase of the ContiTech AG shares which happened in Q1, bringing us to the approximately minus €1.1 billion result. To our last topic on the page, I am pleased to reiterate what we have announced on the 25th of April. The Public Prosecutors Office of Hanover has closed the fine proceedings against Continental AG. Continental accepted the decision and will not be taking the matter to appeal. The fine will not lead to any significant additional impact on earnings in fiscal 2024, thanks to a provision set aside for this purpose in previous years. On the basis of, and in accordance with, existing contractual provisions, Vitesco Technologies is, in this respect, generally obligated to indemnify Continental against the ensuing costs and liabilities. This follows the principle that our opportunities as well as risks from the transferred business are passed to Vitesco Technologies as part of its spinoff. By this, I am pleased to say we complete the investigations and can now pivot our focus to our daily business which includes the continuous strengthening of our integrity pillar throughout the organization. Now let's move to the details on each sector level, moving now to page 4. Beginning with Automotive, here the year-on-year comparison, we see the top line burdened by the effects I mentioned – volumes, pricing, and effects – resulting in a negative organic growth of 2.4%. The adjusted EBIT margin was hit particularly hard by the pricing topic, as well as this year's labor inflation effects, which is bundled into the pricing negotiations. Now to Tires on the sales side. We also came in lower than the comparative quarter with a negative organic sales result stemming from the headwinds of FX as well as volume and price mix effects. On the adjusted EBIT side, we were also below the comparative quarter 2023, coming in at 11.7%. For ContiTech, the top line was burdened by weak industrial and automotive markets as well as negative FX and pricing effects, showing in the organic growth versus the comparative quarter. The adjusted EBIT margin was burdened accordingly, as well as by the mixed effect and labor inflation, which led us to a 5.4% result. Not satisfactory at all, even if we did anticipate the challenging start to this year. Let's look further into the sector details, starting with Automotive on page 5. As a reminder, we do not report on our business area, Smart Mobility, anymore. Last year, in our Capital Market Day, we announced this solution, explaining that a considerable amount of its sales, roughly 50%, would go into autonomous mobility, with the rest being split between architecture and networking, receiving around 30%, and software and central technologies receiving around 20%. On this basis, we report our software and central technologies business area for the first time. To support a like-for-like comparison, we present the first quarter 2023 figures, also following the new structure on a pro forma basis. On the top line, autonomous mobility and architecture and networking delivered solid organic growth year-over-year, while safety and motion was down in line with our market exposure. In the software and central technologies and user experience business areas, we were impacted particularly by the geographic mix and unfavorable customer call-offs. This and ramp-up delays or somewhat a softer start than anticipated led to less content delivered in the quarter versus the comparative period. FX effects were a burden for all sectors. For Automotive, we had a negative 1.6% impact. For the quarterly comparison, we see especially the burden from pricing. Compared to the first quarter 2023, we could, unlike this year, already report on at least some concluded agreements. Finally, the regionally weighted global market development as well as delayed ramp ups combined led to an overall unfavorable dynamic. On the adjusted EBIT side, while we benefited from small improvements in premium freight versus the comparative quarter, the result was neutralized by the R&D net base effect, as we did not have the same pull in our R&D reimbursement payments in this quarter. Finally, the price drop-through effect and additional labor inflation effects weighed us down in the first quarter. Despite this difficult start to the year, we are confident in our plan and that our extensive measures will bring us into the guidance corridor for the full year. On that basis, we confirm the guidance for Automotive. How will we achieve it? Volumes in the second quarter weighted for our regional footprint are expected to positively contribute. And for the sales help, I would like to reference to the bridge we gave you back in March. This is our roadmap for how we will get it done. Firstly, starting with operating leverage. Here we have two levers. We are working with, firstly, establishing, again, fair pricing with our customers for our solutions through negotiations, which includes the additional labor inflation that we anticipate this year. We have started the negotiations with our customers. And even though they are tough, we are confident that we will solve these issues with our customers in a satisfactory and sustainable manner. Secondly, through outperforming the market with our solution mix. Despite the cooler than expected ramp up of new vehicles in the first quarter, we still expect those platforms to go into production, though it's too early in the year to be able to give more information. Perhaps a tangible example here can help to underline this confidence. We have just published a press release on our extensive technological contribution to the new Mercedes E-Class. From our leading smart digital access system to our powerful long-range radars, our telematic control unit that manages the communication in and out of the vehicle and a lot more. Even the tires and interior surfaces come from us. All that shows we are a strong partner to our customers' ambition for smarter, safer, and more autonomous driving. Then to operational excellence, where improvements will continue to come from our razor sharp focus. Our incremental efficiency improvements in manufacturing and overall stabilizing supply chain enables us to continue to influence positively premium freights. We had improvements also in this quarter. From today's perspective and on our current assumptions, we are confident that we will achieve the savings as planned. And finally to our last bridge element, our fixed cost reduction program. On February 14th, we announced that we are consolidating our footprint in the Rhine-Main area to further optimize and streamline administrative and R&D functions. This is part of the overall fixed cost reduction program, which will affect a total of around 5,400 positions worldwide. The complete program is in the execution phase. We also announced our automotive program to improve R&D efficiency with the reduction of 1,750 positions worldwide. Additionally, we will increase our efficiency and pool our research and development activities to improve our long-term competitiveness and achieve our R&D-to-sales target ratio of 9% midterm. Although we will not yet see significant savings in the R&D efficiency program this year, rather from 2025 onwards, we do anticipate already a high-double-digit to a low-triple-digit net effect from our administrative streamlining project in 2024, with the rest of the savings in 2025. Now to slide 6, let's look on how we performed market by market. European production was particularly weak in the first quarter, with key customer vehicle launches delayed further, hindering our performance in the region. However, we still came out slightly ahead. In North America, we see two factors affecting the majority of our performance here, in addition to the negative ramp up, ramp down situation, which we already addressed, the first being customer affordability where the combination of pricing, interest rates and credit levels are affecting vehicle equipment with latest technology. Secondly, market inventory levels are nearing target volumes, so the potential volume upside is reduced. China produced a stronger market growth. However, on the automotive electronic side, we can only benefit to a limited extent from this market dynamic, given the customers driving this growth. We do have solid sales with both Chinese and international OEMs in China, including being in the ramp up phase with another Chinese OEM in the strategic high performance computer business. Looking to our future on page 7, you can see we achieved an order intake of €4.6 billion for the quarter. Starting with our strategic growth business area autonomous mobility, of the €1.9 billion euros in total, the majority of which is attributed to one large win for our next generation surround radars, which also includes the additional software functions of rear cross traffic assist including braking, side blind zone alert including trailer extension, door open warning, and lane change assist. In our other growth area, architecture and networking, our team demonstrated our technology leadership in the area of smart device-based access and vehicle start solutions with wins totaling approximately €1.6 billion euros across several customers. And finally, we'd like to highlight the words of our safety and motion team, bringing in close to €1 billion worth of new business in solutions such as airbag control units and latest generation brake system. Now, let's move to Tires on page 8. The numbers show an overall muted performance for this first quarter. Our sales of approximately €3.3 billion euros were affected by headwinds from FX of approximately negative 2.5% and from lower volumes. We experienced continuing weak developments in truck and passenger car OE markets, especially in Europe. In the first quarter, we had fewer working days compared to last year due to an extra weekend in March and the Easter break in Europe that significantly impacted our sales. We do, this effect, see reversing in April, though. Finally, negative effects from cost indexations in the quarter coupled with the weak truck market led to slightly negative contribution from price mix. So as you can see, it was a rather tough environment for the first quarter. Looking to the adjusted EBIT side, we had negative drop through from the FX, cost indexation and volume effects, while having a slight tailwind from material which compensated for the inflationary effects on the cost side. Looking towards the second quarter, we see already a strong April and thus do foresee higher sales and margin. H1 overall looks promising to be in the guidance corridor. With the current view and assumptions in mind, we confirm our guidance for Tires for the full year. Finally, let's check in now with ContiTech and their first quarter performance on page 9. They too were not immune from the challenging start to the year. Weak industrial and automotive markets, combined with an unfavorable geographical mix for the business and FX effects of negative 1%, led us to the sales result of €1.6 billion for the quarter. Similarly, on the bottom line, we had drop through from the negative volume and mix effect as well as burdens from labor costs inflation. I would like to add here that, during this year, we do expect the inflationary effects to be compensated by results coming through on the cost management side. We will keep you informed on that as the year progresses. Also here, despite the challenging start, we are confident to catch up on the back of a potential recovery in the industry in the second half of the year, as well as from overall self-help improvements, particularly on the automotive side of the business. However, these cost efficiencies and negotiations will show their effect only during the course of this year. Consequently, we confirm our guidance also for ContiTech. Now let's move on to our first quarter results for adjusted free cash flow on page 10. Important message here is that we improved operationally in the quarter-over-quarter comparison. The overall result includes the one-time special effect of the ContiTech AG share repurchase. This €500 million effect is included in the total €1,086 million negative. So overall for us, it's a good result for the first quarter of the year and fully in line with our own expectations. We are on track and I confirm our full year guidance here too. So let's move now to the outlook for our main markets on page 11 and let me start with a statement that, based on today's view, we confirm our market guidance. Perhaps let me just say a few words to some of the topics on the page. Firstly, to the North American passenger vehicle replacement tire market, which you can see was well ahead in the first quarter this year. We do, however, anticipate that, when looking at the full year, our corridor still looks reasonable. Secondly, to commercial vehicle production. We adjust our outlook range for Europe to the weaker-than-expected outlook by minus 1% in the midpoint. While for North America, we adjust to the more positive outlook of the market to the new range of minus 1% to plus 1%. Finally, to truck replacement tires in North America, plus 16% in the first quarter. Here, the market was buoyed by imports from Asia, in advance to the change in anti-dumping duties anticipated to come into effect around the summertime. Like you, we will closely monitor the markets as they each develop this year. Finally, to our guidance for 2024 on page 12. Even with this challenging start and difficult market environment, from today's perspective, we, the Continental Team, remain confident that our self-help measures will have the needed effect and therefore for the group of as well as for each individual sector, we confirm our guidance. So with that, I'd like to now hand over the rest of the time to you. Operator, could you please open the line for the Q&A?
Operator: [Operator Instructions]. First question comes from Horst Schneider, Bank of America.
Horst Schneider: I have got a few. Of course, the most interesting for me is also Automotive. We were all a little bit shocked about this Q1 result. So, therefore, first of all, I would be curious to know if that hit you by surprise. Or basically, is Q1 something that was in line with your expectations so that you can also stick now to the guidance. So the other question then, of course, would be, do we talk now really still about the guidance range, or you rather hope to achieve the lower end of the guidance range after the rather weak Q1? And then lastly, it would be helpful, basically, to understand the year-over-year changes, maybe also sequential changes. I'm just seeing on your slides that this place was pretty weak. So there was some sub-segments which had pretty weak revenue growth. I understand there was also a pricing element, but that you get a little bit better feeling for the bridge basically from a year-on-year perspective. Was it all price or was it a mixture of volume, price and maybe also cost to some extent still?
Katja Garcia Vila: Let me start with your first question on the Automotive result. I think if you recall it, Already in Q4, we told you that our expectation for the year 2024 would be to follow pretty much the same structures that we already had seen in 2023. So we already indicated that we expected the first quarter to be the weakest quarter of the year 2024. The total amount that we are facing now, I wouldn't say was a surprise to us, but a lot of things came together at that point in time. For example, delayed ramp ups in the production at our customer side, which we did not expect exactly at this point in time, that we would have to renegotiate pricing. We also said that clearly at our annual press conference that there would be a significant portion that we would have to renegotiate, not rolling over from 2022. So that was an expectation for us. So, overall, the magnitude was for sure not entirely foreseen for the first quarter, but overall the effects that we saw, certain expectations we had around it. Coming to your question regarding the guidance range, we confirmed the full range of the guidance source because we do see that we have a lot in our portfolio at the moment to be able to confirm the guidance to its full extent, also to its full range extent. We are in good pricing negotiations with our customers at the moment. We do see some positive market developments or mix will develop positively. We always said that the second quarter would be stronger than the first – the second half would be stronger than the first half anyway. This is the reason why I'm really confident to be able to confirm the full guidance range also for the automotive side despite the lower start. Your second question was about the changes, what happened year-over-year. I think for user experience, it is really visible that especially in that area where we are facing a lot of ramp ups of our new technology in the vehicles, we are also over proportionally hit by the delay of the ramp ups or slower than expected ramp ups on the user experience side. So that was one of the reasons for user experience. And the quarter-over-quarter comparison, you already indicated it during your question is that pricing definitely does play a role. In the first quarter of last year, we already had some agreements fixed for the year. This time, we were not able to do that, so we are in negotiations now and I look positive to the results of this negotiations, but that was definitely also a quarter-over-quarter difference.
Horst Schneider: But you didn't book additional provisions Katja, right? So that was a special element in Q1. That's not the case.
Katja Garcia Vila: We didn't book any special provisions in the quarter.
Horst Schneider: And maybe now look at the range and you say that the 3% to 4% is still achievable. Q2 stronger than Q1, understood. H2 stronger than H1, also understood. But does that mean, basically, that as of Q3, for sure, you will be at least, again, within the range, respectively, in order to achieve now the upper end of the range? You, of course, need to be above it, right? But that's the way how we should think about it, correct?
Katja Garcia Vila: Well, Horst, if you compare the development of the past years, we've always seen that we had always a stronger and stronger and stronger development that manifested. I can't tell you exactly what and when to expect the exact amount and figures, but what I can say is that, looking at the current development and looking at all that we have seen in the past, is exactly what we expected for this year and that we are on a good way to it – to work our way through the year.
Horst Schneider: Okay, I keep fingers crossed for you.
Katja Garcia Vila: Let me just say one more thing because I was wondering why you asked about provisions. Booking provisions is something that we do on a regular basis. Yeah? So there were no special things beyond anything else that we haven't had in prior quarters during the course of the last years.
Operator: Next question comes from Sanjay Bhagwani, Citi.
Sanjay Bhagwani: I have three questions. The first one is actually a follow up to your last question. So maybe if you could please provide a bit more color on, to say if I understood it correctly, the pricing of the last year have not rolled over. So that means, this year, you negotiated the prices which were the inflation of the last year and inflation of this year. And on the top of that, maybe inflation also was a bit front loaded this year. So maybe can you please provide some color on, if there is some magnitude of impact in this Q1 margin, if you can help us quantify a little bit of range here that how much of that is to do with this timing of the cost versus pricing negotiation. And then, how are you seeing the progress so far in Q2 on pricing? And are you going for a bit more sustainable pricing increases this time or not? So that is my first question, and I'll just follow up with the next one, if that is okay.
Katja Garcia Vila: Okay, that was a very long question. I hope I can get it all, Sanjay. So, we already said in the fourth quarter result presentation that we will have a significant portion of pricing agreed in 2023 that would not roll over into 2024. This is exactly what happened and this is a major effect in the first quarter. In addition, we also said that we would have approximately €500 million of cost inflationary headwinds, mostly coming from wages and salary increases. And out of that, approximately half of it is attributable to Automotive. And this already has, to a quarter, manifested in the first quarter. It will probably be stable quarter by quarter to achieve the overall €250 million. So all of that had hit us in the profitability in the first quarter comparing it to the Q1 also of last year. What we are doing at the moment is that we are back in negotiations with our customers and I would say we are in a good way. Our target is, for sure, to establish a satisfactory and sustainable pricing moving forward.
Sanjay Bhagwani: So if I understood it correctly, this year, we are talking about Q1 wage inflation, which is roughly one-fourth of the €250 million, maybe more like €62 million or something like that, plus you had to negotiate the inflation of last year that was somewhere around €250 million. So that's probably the gross inflation in Q1. And then on the top of that, the pricing pass-throughs, you have not seen any or you have already seen some pricing pass-throughs?
Katja Garcia Vila: I have not understood everything. So the €250 million would be evenly spread more or less across the quarter. So the first hit was definitely there. Thus, the effect from the not rolling over price establishing from last year. Yes.
Sanjay Bhagwani: Maybe coming on to the second question. So, understood, Q2 margin is better than Q1 and then H2 is better than H1. But a bit more color on this, if you can provide. Can we already see the Q2 margins being at least in the positive territory based on your negotiation, as we said now?
Katja Garcia Vila: I really have a little difficulty in understanding because of the line you're in. I think you asked if the Q2 will be better. Yes, the Q2 will be better. And we are definitely working hard on getting it into the expected level, which also means a significant improvement compared to the first quarter.
Sanjay Bhagwani: Actually, my question is if Q2 margin could already be positive territory, if we can be above zero.
Katja Garcia Vila: Depending on the outcome of our pricing negotiations, I would say yes.
Sanjay Bhagwani: And just a final question on the organic growth outperformance. So user experience and software technologies is somewhere we have seen under-performance. How should we think of that? If you can provide some example on other specific regions or customers where there are these ramp up delays? And overall, on the group automotive organic growth outperformance, do you still think the core is possible from around 3% to 5%, in line with your midterm target.
Katja Garcia Vila: So I think for user experience, I already said that this is really burdened – that that was especially burdened by the ramp up and ramp down effects. So, that was definitely on the user experience side with the delayed ramp up of new vehicles. This is an effect that we've seen in the first quarter, but we do expect that effect not to stay during the course of this year. With regards to software and central technologies, there was some service contracts that were a little down in the first quarter, but also here. We do have a pretty strong portfolio to offer in that area, which is very much demanded in the market at the moment. So I also just see that not to be a sustainable effect throughout the year.
Operator: The next question comes from Ross McDonald, Morgan Stanley.
Ross McDonald: It's Ross at Morgan Stanley. I have three questions from me, please. Firstly, on inventories, could you please provide some color around how you see inventory levels at the group progressing from here, whether there's still some scope for further de-stocking? And then specifically on semiconductor inventories, there has been a de-stock happening in the industry. Would that be a theme that's in play for Continental and whether you see a further de-stock of semi equipment moving forward? I'll start. I think that was just one topic. So you have seen that, in a quarter-over-quarter comparison, we've really significantly improved also on the working capital side. And that contributed to, let's say, operationally better cash flow performance in the first quarter and we do see further opportunities here and work hard with our smart inventory program to continuously work on an optimal setup of our working capital moving forward. So yes, we do see more opportunities on that side for us in Continental.
Ross McDonald: Sorry, I left a space there. I'll give the next two questions if that's okay. The second question is on Tires. Just be curious on the truck market in particular, if you're seeing any greenshoots in that market that would support a recovery from here and perhaps you can remind us what share of Tire revenues you expect to be coming from trucks this year. And then final question, just on the product assault really that's coming in the second half. A lot of OEMs talking about this rich pipeline of new products. Can you potentially remind us how Continental is reimbursed by OEMs if the take rates are actually lower than is being forecast by the industry. Are those reimbursements something that is formulaic in nature or is that something that also has to be renegotiated every year?
Katja Garcia Vila: Let me first start with the truck market. So the truck market is currently a very difficult market and you saw us also being muted on our sales side in the truck market in the first quarter. So far, the market, we expect to stay more difficult, in fact, during the course of this year. So there's no specific jump that I can give you. Yeah? I have to admit that, with regards to the revenues that we expect from the truck business over all this year, I don't have a final figure for you at the moment. I have to admit that I don't have a final figure on the expected contribution during the course of this year on the sales side. Sorry for that. The reimbursement in the delay of the product launches, that is a difficult topic. In some contracts, there are already fixed ranges until when you get compensation for shortfalls in the volumes. Sometimes they are limited to the entire lifetime of the contract. Sometimes they are on a yearly basis. Sometimes you have to negotiate them. But overall, I think that is something that we are pretty experienced now and that we know how to do it and how to deal with the respective customer that might be affected by that. So it depends on them.
Ross McDonald: Maybe just to follow up on the Tires piece, if I could reword the question then, it seems like the recovery you're expecting in Tires is mostly replacement passenger car from here. Would that be fair?
Katja Garcia Vila: That would be a fair statement, yes.
Operator: Next question comes from Monica Bosio, Intesa Sanpaolo.
Monica Bosio: The first one is on the Automotive business. You confirmed your organic growth outperformance target in the range of 3%, 5%. I'm just wondering, do you expect the outperformance will be more back end loaded? Or could we imagine some outperformance already from the second quarter of the year? And if yes, if you can elaborate more on this. The second question is on Tires. You're expecting a reversal of the negative effect in the first quarter already from April, mainly due to the less working days. But I'm just wondering, do you expect positive volumes for the second quarter for Tires, also on the back of what you have just said on the truck tire business. And what about the price mix? Should we expect a positive price mix already from the second quarter as the impact of indexation will be over? And the very last question is on the reduction on premium freight. You had the small spurt in the fourth quarter. How can we imagine the reduction of premium freight across the next quarter?
Katja Garcia Vila: Okay, let me see. Will the out-performance be more back-end loaded? I would say, looking also at the market expectations in the different markets, I would say that we rather have a stronger performance in the second half of the year and we will see, where within this outperformance range, we will finally end. We do see us outperforming the markets, but to what extent exactly and what report, I'm sorry, I cannot give you any details on that. With regards to the Tire side, I already told you that we have seen a strong April, but I have not guided for the second quarter so far. So, the April, we do see catch-up effects coming from the March topic. So this working day topic that you just said. And as I said, we do see stronger markets moving onwards. What exactly the full Q2 figure will be, we will see after we finalize the Q2. But I'm confident that we are moving definitely into the right direction. And then let's see, price mix positive, potentially already in Q2. We will still see impacts from the cost indexation in the second quarter this year. But, overall, moving on forward for the full year, we should progress in that arena. And the last question, the premium freight. Also, I don't guide on the quarterly basis. What I can tell you is that the expectation for the year was to end up the year better on the premium freight side than we ended it last year. And we already made progress in the first quarter of this year and will continue to see continuous positive effects during the next quarters to come.
Monica Bosio: Will it be more back-end loaded also on the premium freight reduction? I know that you do not guide quarter by quarter, but should we expect a major impact in the second half?
Katja Garcia Vila: I would say no special additional impact. We're moving more or less in line. And by the way, there was earlier a question on the truck tire sales. You can expect about 20% of our sales being related to truck tires. I'm sorry, I couldn't give you the exact figure for this year, but sorry. Yeah?
Operator: The next question comes from José Asumendi, J.P. Morgan.
José Asumendi: Couple of questions, please. When I look at the Automotive business, excluding the investments you're doing on AM and the losses you're generating there as a result of the R&D expenditure, you guide for 3% to 4% Auto margin in 2024. If we exclude the losses you're making in AM, am I right in understanding that the margin – the adjusted auto margin will be probably 4% to 5% and we actually have quite a healthy Automotive margin? That will be the first question. Or am I being too optimistic on my assumptions?
Katja Garcia Vila: José, I think it is clear and we've also indicated that during our Capital Market Day that our expectation for 2023 was that AM would be in the loss-making territory. But we do not guide on the A level. So I'm sorry, I cannot really make this statement so far. When you look at 2023 and looking at the capital market presentation, you could assume that, in 2023, the margin would have been better without the investments on autonomous.
José Asumendi: It's quite difficult to navigate the Automotive margin on a quarterly basis, but where are we on these famous three buckets, the operational excellence, the fixed cost reduction and the R&D efficiency on Auto? How is this feeding through this year, next year as we look forward to seeing that Automotive margin growing and improving in the right direction?
Katja Garcia Vila: I think when you remember the bridge that we provided also at the Capital Markets Day, we had given you the contribution per bucket more or less. What I can tell you is that we are on our way and fully in line with the targets on the defined measures that we had. So with regards to the fixed cost reduction program, I can say that our expectation for this year is a low-triple-digit million contribution already this year with the full contribution of around €400 million being realized by the end of 2025. We do see that with regards to the R&D efficiency improvement program, which will contribute short term up to 1%, we are also moving into the right direction. We will see a reduced R&D to sales ratio for this year, as we have indicated. So also there we are moving into the right direction. We also said that we would benefit from lower premium freights. We already confirmed that we've seen effects in the first quarter and in the next quarter to come. So what we are doing at the moment is renegotiating the pricing side. That is also one of the levels that we announced specifically. And there, I would say we have not signed any agreements in the first quarter, yet we are in good negotiations moving forward.
José Asumendi: And final one, if we think about this margin, sequential improvement on Auto, which is going to be extremely steep in Q3 and Q4, so if Q2 is basically breakeven, slightly positive, then Q3, Q4 need to be very, very strong margins. That sequential improvement, is it – I just think about this, is it a third volume, a third cost savings, a third pricing, or do you think pricing will be the majority price negotiations, with probably three quarters of the margin improvement in Q3, Q4?
Katja Garcia Vila: I don't think we've ever broken it down specifically on how much the pricing individually will contribute. But if you take into account, consider that I said that a significant portion of the price agreement of last year did not roll over into this year, plus the additional cost inflationary headwinds, you can definitely see that the result of the price negotiations will be a major driver again on margin improvements during the course of this year.
Operator: Next question comes from Christoph Laskawi, Deutsche Bank.
Christoph Laskawi: The first one will be just a clarification question on what you said on the Q2 margin. In the absence of any pricing, could the margin be positive? The way I read your statement, it's not the case and pricing would lift it over the breakeven line. Is that correct? And then the second question would be on essentially your structuring pay. You highlighted that you have closed a couple of things also in Germany. Could you comment just roughly where the visibility on that sits on the guided, call it, €100 million? Do you have good visibility on the phasing and achieving those €100 million already? Call it, like, 80%, 90%? Or is there still plenty that you need to close with the unions or other parts that could prevent reaching the €100 million?
Katja Garcia Vila: Coming to your first question, we do need some pricing to become positive on the Automotive side. Because as I said, we do already have effects from the inflationary headwinds of this year. So, looking at Q1 and Q2 in total, we would have half of the negative effects from the labor cost inflations already realized, which would be already a significant impact. So, we do need some pricing to get positive. But as I also said, we are on a good way. Let me say it like this. So we are in good negotiations with the customers. They value our products and our content and also our partnership when it comes to new strategic projects. So, as during the course of the last years, I'm positive that we will come to a satisfactory and sustainable agreement there. With regards to the restructuring period, I would say we do have a very strict program and also a very strict program management on the implementation of our cost saving measures, which include the administrative cost side, but also the R&D side. We do have a pretty good visibility of what and when it still comes. For sure, we are also in constant exchange, I would call it exchange with our social partners, which means the unions. But also please keep in mind, Christoph, that the program is not only targeting to Germany. I think that's very important to keep in mind. We're a global company, we're globally adapting our processes on the administrative side and, therefore, the effects will not only come from German employees.
Christoph Laskawi: Just a follow up to that then. Obviously, the non-German parts of the program are easier to conduct, if you can say it that way. That means, for 2024, you wouldn't see a risk of delays because of negotiations with anyone in the program.
Katja Garcia Vila: I would say when you look at the past and also when you look at our transformation program that we had in the market, we've always been able to find solutions with our social partners. So I am so far confident and I'm also happy with the progress that we have made so far. And I'm positive that we will find solutions because – in the interest of the whole company and all its employees.
Operator: [Operator Instructions]. The next question comes from Thomas Besson, [indiscernible].
Thomas Besson: I guess it's me. It's Thomas, Kepler Cheuvreux. I have a few questions, please. First, Katja, personal question. Could you update us on your succession plans? I understand that it's been launched, but I don't think we have heard anything. Do you have any visibility on the timeline for that trend? And can you explain how long you're going to stay once a new person has been appointed in your position eventually. That's the first question. The second, there's a lot of changes that have been pitched in your December CMD. All of them are taking a little bit of time due to carve-outs and planning, et cetera. Can you update us on the timeline for these changes and the cost of implementation you're going to bear in 2024, please. And lastly, more brutal question, I'm sorry. You need to have a compensation from your clients to turn positive in autos, but your headcount has barely declined in autos and your R&D has jumped where it's supposed to decline. So how should we see this basically? On a like-for-like basis, should we expect headcount in Automotives to be done 5% or more on a like-for-like basis without any adjustments or is it going to be still the same? And when should we expect R&D to eventually decline in Automotives?
Katja Garcia Vila: I'll try to answer the personal question first, Thomas. With regards to my succession, there is nothing I can share with you at the moment. The succession is not decided by me, but it will be decided by the supervisory board who is, for sure, evaluating potential candidates for the position. As soon as they've taken a decision, this will also be communicated into the public. What I said, Thomas, I do have a contract and the contract expires on December 13th. So this is still a pretty long way to go. And I'm fully committed to Continental during that time. I do have a lot of personal relationships in this company. I still feel very connected to this company. So it's on me and it's my responsibility to continue to drive this company into the right direction, into the future, and I will fulfill my duties to its full extent. As soon as the successor will be announced, we will define a timeline until when a proper handover will have taken place because that is also important to keep stability in this company to manage a proper handover and then we will see how things progress. So nothing to update you about and everything is still on the run. And you will have the pleasure to talk to me until December so far. The decision from the CMD takes time. That is definitely true. We informed you at the CMD that we have taken the decision to legally carve out two business areas, the user experience business and the original equipment solutions business from ContiTech. Both carve-outs are running according to plan. We are a little bit more progressed with the original equipment solutions business because we've taken the decision earlier, but both carve-outs are running according to plan. And what we have also communicated to the market is that we expect an impact from carve-out costs for this year of around €200 million euro for the two carve-outs. I think that is what it is and everything is going according to plan in the two carve-outs. With regards to the R&D topic, I think what we have always said is that we do not necessarily see a reduction in absolute R&D net spend, but that we do see a decline year-over-year from R&D targeting on the long term to an R&D and to a net and percent of sales ratio of around 9%. And there I can say, Thomas, we are exactly on that track and on that path. We've also shown that during the course of the last two years that we've reduced the R&D net and percent of sales and we continue to move forward into this direction. If you refer to the quarter-over-quarter comparison with last year, it seems that we do have higher also relative R&D in percent of sales. This is due to some cutoff dates on the R&D reimbursement side, but this is just a rolling effect. It's not an absolute effect. Our expectations of this year are fully in line and we do progress as planned.
Thomas Besson: So just to confirm the R&D ratio, despite being up in Q1, it should decline in 2024 versus 2023 towards your ambition. And I had a subsequent question on the headcount that actually has not declined as fast as your revenues in Automotive in Q1.
Katja Garcia Vila: To the first question, yes, you should see a decline compared to prior year again when we conclude the year 2024. And the second one, the ramp down of headcount is not linear to – not necessarily linear to sales. We are targeting to reduce our administrative personnel significantly. And we've also announced the figures of people that are affected overall. This is not linear to the sales development in the first quarter and you will see more effects coming in the second half of this year.
Operator: Next question comes from George Galliers, Goldman Sachs.
George Galliers: The first one I wanted to ask was whether there was any way to strip out from the Q1 auto EBIT the inefficiencies associated with the ramp up of the new products as well as any detrimental impact from the delays you mentioned in order to just help us understand what the Q1 margin might have looked like on an underlying basis. I don't know if that's possible, or you can just give some color in that direction. The second question I had was just, again, coming back to the guidance. I think to reach the low end of your guidance, you need to see something in the ballpark of a €450 million improvement in auto EBIT year-over-year. Obviously, part of the €450 million is coming from the €400 million cost reduction measures that you highlighted at the CMD. However, following on from your response to José's question, is my correct understanding that the rest or a large part of the rest of this improvement is expected to come from price renegotiations? And again, just to be very clear, that would be incremental benefit versus the price renegotiations you achieved last year which don't carry forward.
Katja Garcia Vila: Maybe the first one on the Q1 performance is that some contracts with our key customers are phasing out or were phasing out at the beginning of this year, so in Q1, which could not be fully compensated by ramping up other projects and overall, therefore, we also saw a negative mix effect in the market. So that was definitely a hit. How much that has really contributed to the overall muted performance, I really can't quantify that to you, but that's definitely a hit that we have seen. We do expect that not to fully reverse, that would be wrong, but we do see positive trends that can help us to partially stop this negative trend. So that is the topic on the mix ramp up, ramp down topic for the first quarter. For the guidance on price, price will be a major driver, as I said. We did not have all the pricing rolling over from 2023, so that is definitely, and that was also in effect now in the first quarter. So concluding those price agreements satisfactorily and sustainably will definitely be a driver for the margin improvement overall on the Automotive side despite, as I said, that small triple digit million expectations that we have from the fixed cost reduction program. But we also – let me just emphasize that, we are also expecting some positive contributions from us growing better than the market and also growing with good products in the market during the course of this year.
Operator: Next question comes from Michael Aspinall, Jefferies.
Michael Aspinall: Michael Aspinall from Jefferies here. Just one follow up on Tire margins as I believe I heard a comment that 1H Tire margins could be within the corridor of 13% to 14%. Just to get to the bottom of the corridor for the first half, 2Q margins would need to be kind of more than 14% which would be the highest since 1Q 2022. What are the key moving pieces that they would see Tire margins rebound so strongly in the second quarter? The first thing, and I think I indicated that already, is in April we have more working days than we had in March. So also that effect we do see to manifest. And, yes, there is a chance that, overall, we will be in the range of our guidance with Tires in H1. And it's the volume topic that is definitely coming in that will help us in the tires replacement market.
Michael Aspinall: So it's mainly volume, not much from pricing raw materials. They're kind of largely flat into 2Q.
Katja Garcia Vila: It is volumes overall, I would say. The major driver is volume.
Operator: Thank you very much. Right now we have no further questions. Back to you, Anna Fischer.
Anna-Maria Fischer : Thank you, operator. And thank you everyone for participating in today's call. As always, the Continental's Investor Relations team is available for you for any remaining questions. With that, we would like to conclude today's call. Thank you so much and goodbye.